Operator: Good morning. Thank you for joining The Sherwin-Williams Company’s review of first quarter 2010 results and expectations for the second quarter and full year. With us on today’s call are Chris Connor, Chairman and CEO; Sean Hennessy, Senior VP, Finance and CFO; John Ault, Vice President of Corporate Controller; and Bob Wells, Senior Vice President of Corporate Communications. This conference call is being webcast simultaneously in listen-only mode by Vcall via the Internet at www.sherwin.com. An archived replay of this webcast will be available at www.sherwin.com beginning approximately two hours after this conference call has concluded and will be available until Wednesday, May 12 at 5:00 pm Eastern standard time. This conference call will include certain forward-looking statements as defined under U.S. federal securities law with respect to sales, earnings and other matters. Any forward-looking statement speaks only as of the date on which such statement is made and the company undertakes no obligation to update or revise any forward-looking statement, whether as a result of new information, future events or otherwise. A full declaration regarding forward-looking statements is provided in the company’s earnings release transmitted earlier this morning. After the review of first quarter results, we will open the session to questions. I will now turn the call over to Bob Wells. 
Bob Wells: Thanks Jackie. In order to allow more time for questions, we have provided balance sheet items and other selected information on our website at www.sherwin.com under investor relations, first quarter press release. Summarizing overall company performance for the first quarter 2010 versus first quarter 2009, consolidated net sales increased 1% to $1.565 billion due primarily to favorable foreign currency translation rate changes partially offset by declines in domestic paint sale volume. Consolidated gross profit dollars increase $11.4 million for the quarter to $692 million. Gross margin increased 30 basis points to 44.2% of sales from 43.9% in the first quarter last year. Selling general and administrative expenses for the quarter were essentially flat compared to first quarter 2009 at $612.9 million. As a percent of sales, SG&A decreased 39.1% in the first quarter this year from 39.3% last year. Interest expense decreased $600,000 compared to first quarter last year. Consolidated profit before taxes in the quarter increased $8.6 million or 16.8% to $59.5 million. Our effective tax rate in the first quarter this year was 45.2% compared to 26.7% in the first quarter of 2009. The first quarter rate this year reflects the one time increase in income tax expense of $11.4 million related to the Health Care And Education Reconciliation Act passed by Congress in March of this year, which raised our effective rate by 19.2% for the quarter. For the full year 2010 we expect our effective tax rate would be approximately 35% including the effect of the health care legislation. Last year's rate was 30%. Consolidated net income decreased $4.7 million to $32.6 million from 37.3 million in the first quarter of 2009 due to the health care tax effect. Net income as a percent of sales was 2.1% compared to 2.4% in the first quarter last year. Diluted net income per common share for the quarter decreased to $0.30 per share from $0.32 per share in 2009. The tax impact of the health care legislation reduced diluted net income per common share by $0.10 in the quarter. Looking at our results by operating segment, sales for our paint stores group in the first quarter 2010 decreased 5.3% to $850.9 million. Comparable store sales or sales by stores opened more than 12 calendar months declined 5.4%. The decrease in sales for the segment was due primarily to a decline in paid sales volume and non-paid sales volume. Regionally in the first quarter, our mid-west division led all divisions followed by eastern division, southeastern division and southwestern division. Segment profit for the group decreased 15.6% to $47.8 million in the first quarter 2010 due primarily to lower volume. Segment operating margin decreased to 5.6% from 6.3% in the first quarter last year due primarily to lower volume and raw material cost increases that were partially offset by reductions in SG&A. Turning to our consumer group, sales in the first quarter increased 1.4% to $292.1 million. The increase was due primarily to new product introductions partially offset by soft DIY demand at some retail customers. Segment profit for the consumer group increased 24% in the quarter to $37.5 million. Segment profit as a percent of external sales increased to 12.8% from 10.5% in the same period last year. The improvement in operating margin was due primarily to continued stringent expense control and cost reductions related to facility closings completed during the past year that were partially offset by raw material cost increases and reduced fix cost absorption from lower manufacturing and distribution volume. For our global finishes group, sales in US dollars increased 16.2% to $421.1 million in the quarter due primarily to higher paid sales volume and favorable currency translation rate changes. In the quarter, favorable currency translation rate changes increased net sales for the group by 10.3%. First quarter segment profit increased 333% to $23 million due to higher sales volume and good expense control. Foreign currency rate changes reduced segment profit by $1.1 million. Segment profit as a percent of sales increased to 5.5% from 1.5% in the same period last year. The improvement in operating margin was due primarily to improved operating efficiencies and tight expense control that were partially offset by unfavorable foreign currency rate changes. Turning to the balance sheet, our total debt on March 31st 2010 was $1.041 billion including total short term borrowings of $245 million. Total debt on March 31st 2009 was $1.08 billion. Our cash balance at the end of the quarter was $91.2 million compared to $42.2 million at the end of the first quarter '09. Total borrowings to capitalization were 41% at the end of the quarter versus 40.5% at the end of the first quarter 2009. Long term debt to capitalization was 34.7% at the end of the first quarter this year compared to 16.5% last year due to the issuance of $500 million in 3.125% senior notes in December 2009 used to retire short term debt. In the first quarter 2010, the company purchased 400,000 shares of its common stock in the open market. At March 31st 2010 the company had remaining authorization to purchase 10.35 million shares of its common stock. Also in the first quarter 2010 we spent $25.4 million on capital expenditures, depreciation expense was $33.1 million and amortization expense was $6.7 million. For the full year 2010, we anticipate capital expenditures for the year would be approximately 100 to $115 million. Depreciation will be about $147 million and amortization would be approximately $26 million. I'll conclude my remarks on the quarter with the brief update on the status of our lead pigment litigation. In California, the state Supreme Court will decide whether it is permissible for cities and counties to retain contingency fee counsel to aid them in their suit against former manufactures of lead pigment. Briefing in this case is completed, oral arguments is now scheduled from May 5th, 2010 with a decision most likely coming in the summer of 2010. In the Games [ph] case, a single plaintiff personal injury suit was tried to a jury in Jefferson County, Mississippi beginning in June of 2009. The jury returned a verdict in favor of the plaintiff. The company has filed a notice of appeal with the Mississippi Supreme Court as we believe a number of significant errors were committed during the trial. Briefing has now begun with our opening brief due by May 27th. Further briefing by the parties will continue into the fall. No hearing date has been set yet in that case, a decision is not expected until at least late 2010 or early 2011. That concludes our review of the results for first quarter 2010 so I'll turn the call over to Chris Connor who will make some general comments and highlight our expectations for the second quarter and full year. Chris? 
Christopher Connor: Thank you Bob and good morning everybody, thanks for joining us today. First quarter of 2010 got off to a pretty rough start. Two months into the year, our sales were lagging behind both budget and last year and our profit was tracking well short of plan. Judging by our first quarter guidance we expected a slow start to the year, In January and February, we were tracking in line with that guidance. Then in March, the storm clouds parted both literally and figuratively and the pace of business began to improve. Whether as a result of pent up demand from January and February, seasonably warm March weather, or more fundamental improvement in end market demand in some segments, our sales in March closed the gap from the previous two months and we finished the quarter essentially on budget and on plan. The sales momentum we saw in March was absolutely encouraging and the fact it appears to be carrying over into April is even more encouraging. Not surprisingly, there was considerable disparity in the strength of the March rebounds across market segments, distribution channels and geographies. In North America, for example, the most favorable trends were in the residential and commercial repaint markets, although we did see some improvement in new residential businesses for the first time in many years. DIY sales through our own stores and most of our external retail partners turned positive in March, after very soft months in January and February. The rebound in our global finishes group business was more broad based with sales growth across most product lines and in most geographic markets. If there is a downside to the strengthening industry demand, it is that it will likely keep pressure on the raw material supply chain. Cost pressure caused by the current tight supply of propylene, ethylene, acrylic acid, titanium dioxide and other raw materials is not likely to abate until the second half of the year. If you take a look at year over year raw material cost comparison by quarter input cost troughed in the second quarter of last year 2009, then rose steadily through the second half. We believe they are likely to peak in the second quarter of this year and ease somewhat in the second half. If this outlook is correct, our most difficult comparisons are likely to be in the second quarter. In our year-end 2009 conference call, we predicted that the coatings industry would experience annualized year over year raw material price inflation in the low to mid single digits in 2010. Given the recent pricing actions by most of the major raw materials suppliers, we now believe a mid to high single digit percent increase is a more realistic expectation. Despite this change, we think we're in good position to continue to improve the profitability of the company. Based on our initial raw material outlook, we took only limited pricing actions in January and February on some of our industrial product lines. In March, we revised our outlook for raw materials and at the same time announced appropriate price increase cross most of our architectural lines, effective April 1st, to help mitigate the mounting cost pressures. Assuming normal implementation of these price increases, combined with our efforts over the past years to reduce manufacturing and distribution cost and increase our productivity, the impact of raw material inflation over the course of the year should be controlled. In the first quarter, we continue to invest in our controlled distribution platform, our paint stores group added several new stores bringing our total store count in the US, Canada and the Caribbean to 3,357 locations compared to 3,339 one year ago. Our plan continues to call for paint stores group to add approximately 40 to 50 new store locations during the year and significantly reduce the rate of redundant store closings. We made further process in our management of working capital, reducing our working capital ratio to 12.4% of sales from 12.8% of sales in the first quarter of last year. Additionally during the quarter, we used the company’s cash to buy back 400,000 shares of our stock and we increased the dividend rate to $0.36 per share from $0.355 per share last year. Our balance sheet remains physically sound and capable of financing our planned business operations and growth well into the foreseeable future. Effective April 1st we completed the acquisition at Sayerlack Industrial Wood Coatings from Arch Chemicals. Headquartered in Pianoro, Italy, Sayerlack is one of the largest manufacturer of industrial wood coatings in Europe and a technology leader in polyurethane, water and UV coatings for the joinery, furniture and cabinets industry. The company operates several manufacturing site across Western Europe along with a comprehensive network of sales, technical and distributor representatives, serving clients in Asia and the United States. Net sales for Sayerlack in 2009 were $147 million dollars. Looking ahead to the second quarter, we anticipate that our consolidated net sales will increase in percentage terms in the high single digits compared to last year's second quarter. With sales at that level, we expect diluted net income per common share for the quarter to be in the range of $1.55 to $1.70 per share compared to $1.35 per share in the second quarter of 2009. For the full year of 2010, we are increasing our sale guidance range to mid to high single percentage growth over 2009 compared to our previous range of up low to mid single digits. With annual sales at this new level, we’ve raised our expectation for diluted net income per common share for 2010 to a range of $4.20 cents to $4.60 cents per share including the unfavorable tax impact of health care legislation compared to $3.78 cents per share earned in 2009. Before I open the call to questions, I would like to a moment to acknowledge the contributions of a valued member of our management team who's participating in his last earnings called today, John Ault, our vice president and corporate controller is retiring after an outstanding 34 year career with the company. John usually doesn’t say much on these calls, but for many years he has had a strong voice within the company and with our board of directors. He plays a supporting role in our external communications but internally he’s always taken the lead to ensure the timeliness and integrity of our financial statements, oversee the company's compliance in this ever changing regulatory environment and safeguard our reputation with the financial community. John is humble, good natured and unassuming; he's also smart, meticulous and unflappable, which in this day and age makes him to be a pretty good guy for a CEO and CFO to have around. For the past eight months, John has been grooming one of our up and coming financial executives, Almus Fishen [ph] to assume the responsibilities of corporate controller. As anyone who knows John would expect, he has done a commendable job and now is well prepared for the transition, he has big shoes to fill. I want to take this opportunity to thank John on behalf of our company and its shareholders for his many contributions over the past 34 years, John may be leaving us but the influence he's had in this company will benefit our shareholders for years to come. Thanks, John. Again at this time, we'd like to thank all of you for joining us and we're happy to take your questions.
Operator: Thank you. We will now be conducting a question and answer session. (Operator instructions) Thank you. Our first questions coming from Kevin McCarthy of BoA/ML.
Kevin McCarthy – BoA/ML: Yes, good morning how are you?
Christopher Connor: Good morning Kevin
Kevin McCarthy – BoA/ML: If I look at the comparable stores decline of 5.4% in paint stores, is there a net weather impact in there or not when you consider the storms at the start of the quarter and the rebound that you referenced in March. What is your - what is your feeling there?
Christopher Connor: Yes. You know, Kevin, we're pretty consistent about not really pointing to weather as an indicator of any business trends. We commented that March was a much better weather month than previous Marchs and certainly February and January were worse. So all in, we would expect that there was very little weather in the first quarter.
Kevin McCarthy – BoA/ML: OK. And then on the price increases would you - would you quantify the magnitude of the increases in the paint store segment and then we net that out, you know I guess on a company wide basis versus the raw material inflation that you referenced, Chris, what is you expectation for gross margin here as the year progresses?
Christopher Connor: The price increases, Kevin, that we announce for the architectural businesses through our stores group were in a range of 3-5% depending on costumer segment and product SKU, none of that was in the first quarter and we’re just now beginning to see the effects of that roll out. Our expectations are that the pricing activity is well behaved as they have historically in the past. We would expect to have, you know some significant percentage of that, realized the next couple of quarters. And then over the remainder of the 12 to 18 months to roll this out would probably get up to about 75% implementation. We don't give guidance per line through the course of the year, so there's not a gross margin guidance number that we're giving at this point in time. I think it’s phased into the overall earnings guidance that we're providing.
Kevin McCarthy – BoA/ML: OK. And then final question, if I may, in the consumer segment you referenced some new product introductions. What were the size of those and should we – should we expect any drop off in the second quarter, you know, following that launch?
Christopher Connor: Yeah. Kevin, there was - there was a broad variety of products launched, there were no standouts in terms of major contributors to their volume growth, typically in a year, they'll have introduced a pretty broad range of new products.
 Bob Wells:  So, you shouldn't correspondingly see the drop off of that, these are not huge selling items.
Kevin McCarthy – BoA/ML: Nothing lumpy in there, you know with initial stocking of the channel? OK. Thank you. 
Christopher Connor: Thanks Kevin.
Operator: Thank you. The next question is coming from PJ Juvekar of Citigroup.
PJ Juvekar - Citigroup: Yes. Hi. Good morning.
Christopher Connor: Good morning PJ.
PJ Juvekar - Citigroup: Chris, you know despite store business remaining weak, you’re adding new stores. Can you tell us where are these stores being added, are these new geographies that you're adding to? 
Christopher Connor: Yeah, PJ. The new markets that we will be adding stores in are really broad based across the whole stores platform which would include United State, Canada and the Caribbean. As you know, we've shared with the investment community that we have opportunities in Canada, in the western half of United State for a little bit more rapid expansion, and these new stores are coming in that area as well. And then we also have, every market still has fill-in opportunity, so I think the broad base of store growth throughout the course of this year will be throughout all those geographies.
PJ Juvekar - Citigroup: OK. And you know when contractors come to your stores, they typically have an account and you extend them credit. Are you seeing any credit growth to contractors?
Christopher Connor: Yes, we are. If you look at our DSO was very good in the first quarter but you can see the absolute dollars of our receivables were also higher so we are seeing activity.
PJ Juvekar - Citigroup: OK. And you know you had talked about a special team focusing on foreclosures and selling paint to the new foreclosed homes. Can you give some update on that activity in that group? Thank you.
Christopher Connor: Sure. I think a lot of that effort again is through our stores group and particularly as the new residential market has softened, we've been able to shift some of our resources and direct our sales force and others to focus on calling on those contractors that do more of the residential repaint, which would include some of the foreclosure activity. I think in my comments PJ, I indicated that was one of the strong areas for the company in the quarter and we saw nice lift in that space. So, I think we’re beginning to make progress there. 
PJ Juvekar - Citigroup Inc: Thank you.
Christopher Connor: Thanks, PJ.
Operator: Thank you. Next question is coming from Dennis McGill, of Zelman & Associates.
Dennis McGill – Zelman & Associates: Good morning, everybody. 
Christopher Connor: Good morning, Dennis.
Dennis McGill – Zelman & Associates: Just wanted to ask a couple of questions on market share and your outlook on the revenue side. Realizing within the paint store segment, you have a different exposure to the end-channel than what you might do from some of the other public competitors. So, wondering if, when you think about sort of the recessionary impact of the shift from professional contractor to DIY, are you seeing that trend moderate at all or at least stabilize recently? 
Christopher Connor: Yes, it’s real early to make that call that, Dennis. I think we have indicated to the investment community that the updated data points from the end of 2009 were the contractors accounted for 55% of all architectural purchases and the DIY market 45%. That trended down a few more points towards the DIY again in ’09 from its’08 levels. And time will tell whether that’s the trough and it starts to move back up or whether there’s more to come. I think our expectations are that given the significant amount of new construction lack in the market place, that’s a pretty normalized expectation of how that volume would shift and if some of that new construction comes back , we would expect to see this trend back up towards its normal 60/40 ratio in favor of the contractor. You know, early sign, and these are very early signs as we indicated in the month of March and into April, the contractor segment as John just commented on receivable numbers really starting to pick up. So, time will tell and we’ll share that number with you at the end of the year when we have it.
Dennis McGill – Zelman & Associates: Is there any way to get a sense on the contractor side if non residential or commercial maintenance is picking up at all? We know that the construction side is going to be down for awhile. But have you been able to piece through from your customers anything happening on the maintenance side of non-res?
Christopher Connor: Hopefully, Dennis, and when we talked about the residential repaint and the commercial repaint segments being up in the first quarter, that’s exactly what we’re talking about.
Dennis McGill - Zelman & Associates: And when you think about your guidance, one of the moving variables is obviously the acquisition closing and the benefit you will get from that. Can you maybe talk about just organically how much better you see revenue this year relative to a couple of months ago?
 Bob Wells: Well, I think, you know for the full year, I will tell you I’d probably do it in reverse instead of going organic. You know what the total guidance is? And if you take a look at the acquisition being an annual 147 million that Chris mentioned, we only have it for the three quarters. So I would say if you’re looking around 115 to 120 will hit our P&L from now to the end of the year. In the third -- in the second quarter, it’s going to be full impact for the quarter. For the year, it’s going to be three quarters versus the full year. So, it’ll about 1.5% to 1.7% in the -- for the full year and probably just slightly over 2% for the second quarter. You back that out of our guidance and I will tell you that even the four year where we were at low to mid adding in 1.7, now we are mid to high. So, the organic growth had to be stronger. And I think that pretty good gives you the…
Dennis McGill - Zelman & Associates: Okay, great. All right looking forward to seeing you guys in two weeks. 
 Bob Wells: Thanks, Dennis.
Operator: Thank you. The next question is coming from Jeff Zekauskas of JP Morgan.
Jeff Zekauskas – JP Morgan: Hi, good morning.
Christopher Conner: Good morning, Jeff.
Jeff Zekauskas – JP Morgan: the first question is, in terms of your share repurchase intentions, your shares have move up nicely and you bought 400,000 shares in the quarter. Have you bought any since the quarter closed and you know, is this like would it be a period where your share repurchase activity falls off? 
Christopher Conner: You know Jeff, the only way we can buy stock between the end of the year and prior to when we release earnings and actually three days after we release earnings, we’re locked out. We consider ourselves locked out just like an inside would be because we don’t buy. The only time we do is occasionally. When we think something abnormal is going to occur we will put in 10b5-1 Plan that allows us also to buy through the blackout as a company. So the answer is, during this, we’d adopt [ph] one of those in place, so therefore, no, we haven’t bought any stock between month end and now. I would tell that our stock repurchase when you look at this price, we still think that when we take a look at it, the stock we’ve purchased over the last ten years and prior to that has all been accretive. We think that we buy the stock on a long term basis and I guess I would just say, last year in the first quarter we bought 500,000 shares, this year we bought 400,000, at the end of the year, we had bought 9 million shares, so as produce cash throughout the year, we are going to be looking for acquisitions just like we did last year, and void of acquisitions, we are going to be buying stock but the one thing I would tell you is there is remote chance that we will have cash on our balance sheet at the end of the year, in a greater amount than we do today last year end. 
Jeff Zekauskas – JP Morgan: That's very clear. Secondly in terms of the increase in your sales guidance for the year, you know, from low to mid to mid to high, you know, could you break that up into acquisition price and volume?
Bob Wells: I think when you take a look at it, the acquisition will be between 1.5% and 1.7% in both locations and I think price, when it comes to price and volume, I think Chris said it, we do expect a little more price than we did, but we still expect more volume for the year than we did at the last call, but we don’t really have a break up for you.
Jeff Zekauskas – JP Morgan: It just seems to me that if your average prices are going up three to five or even half of three to five and you've got one to two in acquisitions, then it would seem that your volume expectations would be unchanged insofar as you want to make these calculations consistent, or is it that you're saying that, you know it's mid to high for the year but maybe you can do better than that.
Bob Wells: I think on the, first of all, on the pricing, let’s remember that it takes us a while to get this in. we are talking about an architectural price increase on the architectural business through stores. The other price increases that we effected January 1 were already baked in. So I think your estimate about what the price impact is going to be in the year is a little high. We have definitely moved our volume expectations up in providing this new guidance.
Jeff Zekauskas – JP Morgan: Okay. And lastly, were your prices on average up for the quarter or down or flat?
Bob Wells: Up slightly. As Chris mentioned, we did raise prices on January 1 on some products, but when you take a look at it, very little.
Jeff Zekauskas – JP Morgan: Thank you very much.
Bob Wells: Thank you, Jeff. 
Operator: Sergey Vasnetsov of Barclays Capital.
Sergey Vasnetsov - Barclays Capital: Good morning.
Christopher Conner: Good morning, Sergey. 
Sergey Vasnetsov - Barclays Capital: A lot of questions have been asked already, what's your view on acquisitions ex the US and specifically in China?
Christopher Conner: We don’t comment on any prospective deals that we may be working on. I think we have shared with the investment community that we have an appetite for expanding our industrial products, primarily outside of North America. That would include Asia Pacific. I would remind the investors that the Sayerlack acquisition that we just completed in the industrial wood finishes complements the Inchem acquisition we made about a year and a half ago in Asia which was an industrial wood finishing product. And to the extent that there are more bolt ons in that part of the world, we would be interested in them.
Sergey Vasnetsov - Barclays Capital: What's your current view on the US commercial real estate market?
Christopher Conner: Not good. New construction has essential come to a standstill. We don’t think there is a major mall under construction anywhere in the United States. Occupancy rates are not good either which limits the tenant improvement and buildout types of expenditures that we would see, and I think the guidance that we have been giving throughout the last three or four quarters has been that the declining commercial market that we saw last year I think was often the high 40% and is likely to taken another turn down in 2010. So all the guidance we are giving is predicated on a very soft commercial market for this year, both new and repaint.
Sergey Vasnetsov - Barclays Capital: Okay, thank you.
Christopher Conner: Thank Sergey.
Operator: Thank you. Our next question is coming from Chuck Cerankosky of Northcoast Research.
Chuck Cerankosky - Northcoast Research: Good morning, everyone.
Christopher Conner: Good morning, Chuck.
Chuck Cerankosky - Northcoast Research: And best of luck to John Ault as he retires from Sherwin. In looking at your working capital, Sean, do you think you are going to continue to be able to manage that number down, that ratio down as business improves? Or when do we -- another way to ask it, when do we expect it to start absorbing a little bit of cash?
Sean Hennessy: You know, we expect that over the next two quarters of absorbed cash, I would say that it will be a use of cash in the fourth quarter, but not as great as it has for the full year, we've still expect it to be slightly use of cash.
Chuck Cerankosky - Northcoast Research: All right, thank you. Chris, in looking at some of your industrial and OEM end markets, can you give us a little detail on those? 
Christopher Conner: Yes, I think on the OEM side, Chuck, that’s looking at a little bit better. We saw a little life in that business in the first quarter, and the prospects in meeting with these customers, is they're feeling much better about the coming year. The protective and marine which you know, fit some of the industrial markets for us as well also saw a little bit of a life on the repaint cycle, so those markets where people are required to maintain properties as we've talked about in the past has got an infinite ability to put that off, so that's coming back a little bit as well. The new component on the industrial commercial side, we just talked, with Sergey’s comments are hurting that business a little bit. So, all in I'd say both the protective and marine on the OEM finishes are looking little better to us now than they were say three, four months ago.
Chuck Cerankosky - Northcoast Research: And then finally, while you talked about opening 40 to 50 news paint stores this year, what's the net number that you're looking at through the year, is it any better? I don't know if you disclose what the closures are going to be at the fourth quarter call but sort of what are you looking for in fiscal 2010?
Christopher Conner: There's going to be a dozen closures, plus or minus, maybe a little higher than that number so the net should somewhere in the 30 to 45 range, you know. It's a hard number to peg when you're closing stores because you got lease issues to get through as well, but I think that's pretty much where we are going to end up.
Chuck Cerankosky - Northcoast Research: All right, thank you, Great quarter.
Christopher Conner: Thanks, Chuck.
Operator: Thank you. Your next question is coming from Don Carson of UBS.
Don Carson - UBS: Yes, thank you. 
Christopher Connor: Good morning, Don.
Don Carson - UBS: Good morning. Just had a question just on your view on the overall mark, you are more positive on volumes now, I know you've talked in the past I think that you have a small rebound in US architectural volumes this year, do you think you could get up to 600 million gallons? And you know, as commercial, you know, still a drag this year, but you see it contributing to positive next year, what do you now think of these normalize volumes for the US architectural market and do we get there in 2011 or that’s still more of a 2012 event?
Christopher Connor: Yes, Don, I think the 600 million gallons for the year might be a tad aggressive from what we're thinking right now. As you know the year ended at 550 and a few, and a normalized year would be 1 to 2% gallon increase, so if we run at a 3% to 4% or even a 5% gallon increase, that would be a nice rebound, that would take us about halfway from 550 to 600, so that number seems a little bit of a stretch to get there. And don't forget that, you know, when we're having a normalized year of 1 to 2%, that's what the commercial new construction market behaving normally which is not, so have some head's win on that, I think the rebound and the repaint cycles will left it, higher than the normal run rate, and the 600 seems a little bit of a far outreach at this point.
Don Carson - UBS: And how about next year as you know, as we get -- when I say normalized, it is not the increase but sort of it, you know, we get back to more normal levels of demand?
Christopher Connor: Yes, I think the market has got to run at a higher rate for a couple of years, just to get back on normal footings, so if we ran at 3 to 4% gallon growth this year. I think we could expect to do that again, and you know, 11 and maybe even if it's 12 or 13, and you know the housing market needs to come back up to north of a million new starts to sustain what our country will need. Commercial construction won't stay down forever like it is today. So I think it's a couple of good years here that we could be heading into.
Don Carson - UBS: And a question on operating leverage, you know, with you new lower cost structure, what should we think of the EPS benefit of each 1 percentage point increase in volumes?
Christopher Connor: You know, Don, we don't really share that, but I would just probably guide you to take a look of what happened between 2002 and 2007. And in the short term we actually think the flow through and the EPS growth would be slightly higher than what we're able to do in that time period.
Don Carson - UBS: Ok, thank you. 
Operator: Thank you. Our next question is coming from Dmitry Silversteyn of Longbow Research.
Dmitry Silversteyn - Longbow Research: Good morning, gentlemen. I'd just like to follow up on your better or higher expectations in terms of revenue guidance, volume guidance excluding the acquisitions, you know. You are looking at about a 1% growth, a little bit over 1% in the consumer business, and you actually saw mid single digit decline in the store business, you mentioned that weather was pretty much odd, it seems there was a lot of catch up in March that happened. Is it the trends that you are seeing coming out of March and April, that you think will be sustainable going forward that gives you confidence to expect -- to actually raise your volume expectations going forward, and your earnings increase expectations. Is that also driven entirely by volume?
Christopher Connor: Dmitry, on the sales number, the two factors that are causing us to raise is, the first, we haven't talk much about this yet on the call is our global group, which really had a terrific quarter for us, and given the visibility we have into those businesses going forward, and we significantly raised our expectations of that teams ability to deliver improved revenue. Likewise on the stores, and we just reported as you pointed out a 5% decline but the comparisons eased for this group and we are starting to see contractors ramping up and the businesses that we are bidding on and providing coatings for at this moment, we have taken a significant – not a significant, we have taken a tick up in our expectations of what’s going to come out of the stores business. Turning to the earnings number, Sean, maybe you want to comment on that?
Sean Hennessy: And I guess I will just go back to the prior question, when we look at the flow through percentages and what we have been able to do over the years and then plus what we did to our company to right size the company like closing facilities and closing stores, when you look at the incremental gallons that Chris just mentioned, we feel we are going to do a nice job of bringing those to the bottom line.
Dmitry Silverstein - Longbow Research: I mean certainly if you can continue to manage doing what you are doing in the consumer group, where your revenues were up what about $4 million and your profit was up $7 million, that's a pretty good leverage. On the global group, just to get a little bit better -- is that the portion of (inaudible) better or is it the Marine and maintenance portion of the business that are doing better?
Bob Wells: All those segments were better. I would say the real driver was the architectural businesses throughout Latin America.
Dmitry Silverstein - Longbow Research: Okay, all right. Thank you.
Christopher Conner: Thanks, Dmitry.
Operator: Thank you. Our next question is coming from John Roberts of Buckingham Research.
John Roberts - Buckingham Research: Good morning, guys.
Christopher Conner: Good morning, John.
John Roberts - Buckingham Research: Do you think the new store openings will accelerate? You're opening roughly the same number as last year which is a low level. The closings are just simply rolling off, aren't they, because you haven't made any major acquisitions of store chains in a while?
Christopher Conner: That’s correct, John. These are still some of the acquired stores from the earlier part of the last decade that we are getting to and the reason, the tail on that is that a number of these locations require in their lease language that we are not allowed to close during the term of a lease. So as the leases expire, we are able to get out of these last few stores. And I don’t think there is a lot of upside to the gross store number that we are talking about, it takes a period of time to negotiate real estate locations, then the permitting, and build out et cetera, we’ve got a pretty good visibility into what that number is going to be by year end. I think our expectations are that for the year that’s the right number and we will probably be ramping up slightly into the 11 and 12 period as the market continues to rebound. 
John Roberts – Buckingham Research: And secondly I think it used to be that 90% of paint demand was, paint on paint right just for repainting and maintenance activities and the new construction part just got to be a bigger part and obviously got much more volatile. Is the turnaround, can it just simply be characterized as new construction parts now got small enough again so that maintenance is taken over as a driver?
Bob Wells: Yes, that's clearly we're looking at in this environment right now, John. We think actually new construction has shrunk below kind of a more sustainable historic run rate, it’s typically in the 15% range. It actually got north of 20 and up into the mid 20s and now we think it's running about 10 to 11. So we’re probably below where we ought to be but clearly repaint becomes a bigger portion of the market and that would be the driver for this year.
John Roberts – Buckingham Research: Thank you
Bob Wells: Thank you.
Operator: Thank you. Our next question is coming from Eric Bosshard –of Cleveland Research.
Sean Hennessy: Good morning. Eric
Eric Bosshard – Cleveland Research Company: In terms of the stores business, I think the margins expanded in the second half of last year, was down double digit comps, and in the first quarter the margins were actually down, less worse comps, can you help explain if there’s anything to learn or understand better in terms of why the margins got a little bit worse while the sales got a little bit better in the stores business. 
Sean Hennessy: The only thing is that really we’re closer to the breakeven Eric. Years ago when we had sales – at one time, if we go back 15 years, that started to have negative margins in the first quarter, and we used to lose money in the first quarter. And as the sales continued to grow and we went way past the breakeven point for each quarter we had nice profit in first quarter but with the volume curve that we have, even with the negative 5.4, which is closer to the breakeven point that we were a year ago, we are well below where we were four years ago.
Eric Bosshard – Cleveland Research Company: Secondly, in terms of the 2Q guidance I think you commented that the input costs compares sounds like it is probably the worst in 2Q and the staging of pricing starts in 2Q but obviously grows through the year and so what are the factors that allow you to give guidance for an approximate amount of earnings growth in the second quarter considering the price cost comparison seems like it would be the most difficult in 2Q?
Bob Wells: Yes, I think if you noticed we don't give you any type of a range on sales but we did give you a range and with this volume and you know even with the acquisition, with the volume and the amount of price we get there, we have a $0.15 differential range really dealing with mostly the gross margin. So even if we look at what we think could be the low end of the gross margin, we feel we are at the low at the range and so that give us the confidence to put the range out there like we did. 
Christopher Conner: I think you are also seeing too, Eric, the leverage that we promised the Street on the back half of all the work to right size the organization. So the plant closings, the distribution center closing, store closings, the head count reduction, all those things are in now and starting to show the kind of benefit that we had anticipated.
Eric Bosshard – Cleveland Research Company: Historically, it’s taken you maybe a year to offset higher cost with selling price increase stabilized gross margin, is there a reason why that would happen slower or faster at this time?
Sean Hennessy: I would tell you that this one I think is going to act pretty much the same as in prior years. You know, the interesting thing is, I would tell you, the one little thing that is little different this time is the staging. I think that used to, we were in all segments and all different product lines, we were pretty consistent or in a very small band when we put them in. Chris did mention we did take some products up January 1, so -- and you know, but most of them April 1. So, will see how that's affects it.
Eric Bosshard – Cleveland Research Company: Thank you.
Sean Hennessy: Thanks Eric.
Operator: Thank you. Our next question coming from Steve O'Neil - Hilliard Lyons 
Steve O'Neil - Hilliard Lyons : Good morning. 
Christopher Conner: Good morning Steve. 
Steve O'Neil - Hilliard Lyons: You mention Latin America, I wondered if you could detail the performance of any of your other international markets. 
Christopher Conner: Yes, well, as you know the company does not have a significant non-domestic revenue stream, maybe 15% of our revenues and Latin America accounts for two-thirds of that. Our Chinese business would primarily be servicing the OEM customers, we discussed that on one of the earlier questions, that that business is starting to pick up but again it's a very small base, not a lot to move the needle. We have a small architectural business in India, that too is doing well, so really all, as we said, across segments and geographies in that global group, we are moving in the right direction. 
Steve O'Neil - Hilliard Lyons: And then secondly, what kind of factors give you confidence that raw material pressures will peak at mid year?
Christopher Conner:
 : 
Steve O'Neil - Hilliard Lyons: I just wonder with – you see a rebound in volume, you know translating into increasing demand for raw materials; I don't know if that will offset some of that. 
Christopher Conner: There certainly will be an increase in market volume, as Chris indicated earlier, it's going to be probably very modest, so the pressure would be light. 
Steve O'Neil - Hilliard Lyons : Okay. All right, thank you. 
Christopher Conner: Thanks Steve.
Operator: Thank you. Our next question coming is from Chuck Cerankosky of Northcoast Research.
Chuck Cerankosky - Northcoast Research: Yes, Chris, I had a follow up. I was wondering if you could comment on how some of the store brands are doing that you service or supply out of the consumer segment.
Christopher Connor: Yes, the quarter for those guys is relatively flat, we made the comment that the number of retailers you know, it's kind of a mixed bag. Some are doing okay, some are struggling a little bit. You know, the architectural paint brands in that group obviously are the largest ones and kind of track right in line with the performance for the group. Our Thompson and Minwax brands don't tend to be heavy first quarter products anyway, so we will see how they start to unfold in the second quarter. Bob was clarifying our comments relative to some new product placements and a lot of a non-paint brands like our putty brushes and spray-ons [ph] saw some nice placements of some new SKUs. So overall they are doing about the same and slightly better and we will see how the year unfolds.
Chuck Cerankosky - Northcoast Research: I guess Chris what I was getting at, are the store brands doing better than say the Dutch Boyo or the… 
Christopher Connor: For the private label that we do for them?
Chuck Cerankosky - Northcoast Research: Yes.
Christopher Connor: I don't think there is any significant change in those sales patterns. 
Chuck Cerankosky - Northcoast Research: All right, thank you very much.
Operator: Thank you. As a reminder ladies and gentle man, if you would like to ask a question, please press star one on your telephone key pad at this time. Our next question’s coming from Mike Sison of Keybanc. 
Mike Sison – Keybanc Markets: Hey, guys, great start to the year.
Christopher Connor: Hey, Mike. Thanks.
Mike Sison – Keybanc Markets: Chris, can you talk to your contractors, are they feeling any better these days in the US? Has their sentiment improved and maybe to some degree do you have any sense they are hiring? 
Christopher Connor: Yes and yes, there's a lot more activity that they are seeing relative to the last couple of years and I would think that quite a number of them are starting to bring on you know part time and casual labor to help round out their repaint businesses.
Mike Sison – Keybanc Markets: Great. And when you take a look at the rebound in March, any sense of how much of that was maybe just restocking and is that going to continue into April and May?
Christopher Connor: We get very little impact on March through restocking whether, you know, the costumer segment through our stores doesn't stock. So that's not a factor there. And the retailing partners that we are privilege to do business with, they are all pretty savvy operators and keep those inventory levels at the appropriate amounts and expect us to be the backstop so they don’t have to “restock.” I don’t think any of the March lift was on restocking.
Mike Sison – Keybanc Markets: Great. And final question, when you take a look at the commercial markets, maybe a historical perspective or your thoughts going forward, you know, what do you need to see to see that part of your business stabilize and does there tend to be some inflection points where you see that side of the business rebound?
Christopher Connor: Yes, Mike. The principal drivers that we watch are occupancy rates and specifically retail and office space occupancy rates which declined to almost an all time low in 2009 and in some segments and at particularly apartment buildings it’s starting to rise now and most of the forecast say that all three of those categories, apartment, office and retail, should rise some by the end of the year, but they have got a long ways to come back before you are going to see any meaningful building. 
Mike Sison – Keybanc Markets: Got you, great.
Christopher Connor: Driving occupancy will help the re-paint market.
Mike Sison – Keybanc Markets: Okay great, thanks guys.
Christopher Connor: Thanks Mike.
Operator: Thank you. There are no further questions at this time, I would like to hand the floor back over to management for any closing comments.